Operator: Good morning and welcome to the second quarter 2019 earnings release conference call for the Livent Corporation. Phone lines will be placed on listen-only mode throughout the conference. After the speakers' presentation, there will be a question-and-answer period.  I will now turn the conference over to Mr. Daniel Rosen, Manager, Investor Relations for the Livent Corporation. Mr. Rosen, you may begin.
Daniel Rosen: Thank you, Casey. Good morning, everyone, and welcome to Livent's second quarter earnings call. Joining me today are Paul Graves, President and Chief Executive Officer; and Gilberto Antoniazzi, Chief Financial Officer. The slide presentation that accompanies our results, along with our earnings release, which includes our 2019 outlook, are available on our website. The prepared remarks from today's discussion will be made available after the call. Following our prepared remarks, Paul and Gilberto will be available to address your questions. We would ask that any questions be limited to two per caller. We would be happy to address any additional questions directly after the call. Before we begin, let me remind you that today's discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including, but not limited to, those factors identified in our release and in our filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Today's discussion will focus on adjusted earnings for all income statements and EPS references. Reconciliations of these terms, as well as other non-GAAP financial terms to which we may refer during today's conference call, are provided on our website. With that, I'll turn the call over to Paul.
Paul Graves: Thank you, Dan. Good morning, everyone. I'll begin by providing a brief overview of Livent's business today. Gilberto will then discuss 2019's second-quarter results, our third-quarter and full-year guidance, followed by select financial data and our latest capital spending plans. I will then conclude by reviewing our perspectives on current market dynamics and their implication for both the near-term and longer-term trajectory of the industry. So, turning to Slide 3, our business performed as expected during the second quarter, with revenue, adjusted EBITDA, and adjusted EPS all in line with our guidance. Revenue for the quarter was $114 million, or 6% higher than last year. This performance was driven by a 21% year-over-year increase in volumes, led by lithium hydroxide and partially offset by lower lithium carbonate sales and a decrease in the average price realized on both products. Prices in butyllithium and high-purity metals were higher on average on a constant currency basis, and overall price and mix had a negative 13% year-over-year impact on revenue. Our foreign exchange added a headwind of 2%, most notably from the RMB and the euro. So, now that we're over halfway through 2019, I felt it was important to review the performance of our business in the year to date on Slide 4. Livent increased its total LCEs sold by approximately 20% in the first half of the year compared to the same period in 2018. We made a number of operational improvements in Argentina that have allowed us to increase our run rate production levels of lithium material and significantly improve our ability to operate under a wider range of conditions. As we will discuss later in more detail, we expect volumes to improve even further in the seasonally stronger second half of this year, with total LCEs available up over 30% compared to the first half of 2019 and over 20% higher than the second half of 2018. Another big driver of this increase in LCEs is Livent's expanded lithium hydroxide network, with hydroxide volumes up roughly 50% through the second quarter year over year. We brought the third hydroxide line in China into production during the first quarter, taking total annual capacity in China to over 13,000 tons. We're currently operating our hydroxide network at record levels of production. Just as important, we're supplying some of our larger customers from multiple locations, demonstrating our ability to produce a consistent product across manufacturing units. In Argentina, we continue to meet critical milestones for the 40,000-ton expansion project, and we remain on track to bring the first 9,500-ton phase online by the end of 2020. We've built onsite worker housing facilities, we successfully executed labor agreements, and we obtained critical permits from the Catamarcan government. The construction of the modular carbonate production units is on track, and we expect the first units to be shipped to Argentina later this year. Most importantly, we recognize that we have a commitment to the local communities in which we operate, and we take this responsibility very seriously. We will continue to take a partnership-based approach to our expansion in Argentina. Separate from our capacity expansion undertakings, we have recently concluded debottlenecking activities on our existing production assets in Argentina. We expect that this will generate as much as 1,000 incremental tons of LCEs on an annual basis. We are proud of the improvements we continue to make in a region where others have struggled to meet both targeted production capacity and quality levels, and our success has been a testament to the strength and operational expertise of our team. There have been a few factors that have come together in 2019 to drive Livent's costs higher as compared to last year. Some factors have been out of our control, such as weather-related disruptions and foreign exchange rate fluctuations. However, demand from our customers continues to outpace our ability to produce sufficient product -- in particular, the lithium carbonate needed to feed our hydroxide units. This has required us to purchase third-party carbonate, and we expect to continue to do so until our first phase of carbonate expansion comes online. With that, I will turn it over to Gilberto.
Gilberto Antoniazzi: Thank you, Paul, and good morning, everyone. Turning to Slide 5, adjusted EBITDA for the quarter of $20 million was in line with our guidance, and the primary drivers of the year-over-year decline were consistent with our expectations. Volume growth continues to be driven by increased delivery of lithium hydroxide to our customers, but partially offset by lower carbonate sales. While a favorable price mix was largely driven by customer mix, we also realized lower pricing in certain hydroxide and carbonate volumes sold during the quarter, particularly in China. The higher costs incurred in the quarter were largely driven by higher purchase of third-party carbonate, as we highlighted in our previous earnings calls. Foreign exchange also had a negative effect on earnings, with the euro and RMB primarily impacting revenues and the Argentine peso impacting costs. Turning now to Slide 6, for the third quarter, we expect revenue to be in the range of $105-115 million, essentially flat at the midpoint compared with last year, as the trend of higher volumes and lower average prices seen in the first half of the year continues. Adjusted EBITDA is expected to be in the $26-30 million range, and adjusted EPS is expected to be in the range of $0.11-0.14. For the full year, we are reaffirming our guidance. 2019 revenue is expected to be in the range of $435-475 million, slightly above 2018 at the midpoint, with projected adjusted EBITDA between $125-145 and adjusted EPS in the range of $0.55-0.66. Turning now to Slide 7 and a comparison between the first and second half of 2019, put simply, Livent's improved second-half performance will come from a meaningful increase in volume sold, and to be clear, we are not forecasting price improvements in the second half of the year. We expect to have over 30% more LCEs available for sale as compared to the first half of this year. These volume increases will be across our lithium products, but most notably in lithium hydroxide and carbonate. More importantly, we expect to have about 3,000 tons of additional material from our own operations. This increase is driven by three factors. First, we do not expect the January rain event in Argentina to repeat in the second half of the year. Second, historically, we have seen seasonally higher volumes of productions in the second half of the year. These two factors account for the majority of increased volumes expected in the second half. We will also benefit from the debottlenecking actions that were recently completed [Audio Gap] experience and our thoughts position. We remain committed to investing in the lithium hydroxide capacity necessary to meet the demands of our customers, as shown by our Bessemer City expansion plans. We constantly evaluate and reassess our specific lithium hydroxide expansion plants based on the needs of our customers. As part of this process, we're looking to increase our operational flexibility by creating a broader global network which involves an assessment of the most suitable geographical locations for additional hydroxide units. However, we will only make final investment decisions when we have sufficient commitments from our customers. We have already started conversations with some of our largest customers with respect to future hydroxide capacity investments. With that, I'll turn the call back over to Paul.
Paul Graves: Thank you, Gilberto. I want to conclude on Slide 9 by giving a high-level update as to what the key lithium markets are looking like today from Livent's perspective. There are a lot of positive indicators in the market, with demand fundamentals better than we had expected six months ago. There is, though, a supply overhang that is likely to prevent prices from increasing before 2020. However, demand is growing faster than we had previously forecast, and supply additions are slowing, giving us confidence that today's pricing environment does not reflect the longer-term outlook. The market for electric vehicles continues to be very strong. Passenger EV sales globally were up roughly 45% through the first half of the year compared to the same period last year, and sales in China were up over 60% in this period. More importantly, when we combine EV sales with average battery size, we can see that the total reported megawatt-hours of battery capacity sold in passenger EVs was roughly 150% higher in China for the same period, and ultimately, it is this metric that drives lithium consumption. For the most recent quarter, reported sales of higher-nickel chemistries, such as NMC 622, NMC 811, and NCA, were up 40% in China compared to Q1 2019. Not surprisingly, given this trend, hydroxide sales are significantly ahead of last year, with global sales approaching 50,000 metric product tons through the first six months, roughly double the same period in 2018. Independent data suggests that sales of hydroxide was over 10,000 metric product tons in June alone. Based on this data, we are increasing our 2019 hydroxide market demand forecast to 100,000-110,000 metric product tons, an implied 55-71% year-over-year increase compared to last year. We will revisit our 2020 demand forecast numbers once we have Q3 market data and have had more discussions with our own customers about their needs for 2020 and beyond. We believe that one of the key drivers of this faster growth is the increased involvement and direction from global auto OEMs, which is providing greater clarity throughout the entire electric vehicle supply chain. As OEMs prepare for new vehicle launches in 2020 and beyond, they're taking a number of important steps to prepare. Many are now announcing firmer commitments with multiple battery suppliers, typically on a vehicle platform basis, and are being more precise with specifications as to battery type, cathode technology, and battery pack size. Just as important, they are more directly engaging in the qualification processes, not just of the batteries themselves, but also of the battery raw materials. The greater involvement of OEMs has, in turn, helped the battery producers more clearly plan their own production roadmaps, and as a result, we're seeing more qualification activity taking place by battery and cathode producers, as they look to establish hydroxide purchasing agreements for 2020 onwards. As the OEMs get more directly engaged, we are seeing this translate into more stringent specifications for lithium, and slower qualification processes as a result. A greater variety of specifications are also being requested, whether it relates to impurity levels, particle size, moisture levels, or even whether the hydroxide is produced directly from spodumene or brine-based carbonate. This is resulting in a rapid proliferation of the forms of hydroxide that are needed, making it more challenging to meet customer requirements. Equally important, because of the cost and time required to qualify producers, battery companies are looking to limit the number of lithium suppliers they qualify on each platform or vehicle. I'd like to comment on the inventory and supply situation in the market, which is having a negative impact on the pricing environment for 2019, but which also points to the likelihood that when pricing for hydroxide does recover, it is likely to do so quickly. There is continued oversupply and excess inventory of spodumene in Australia and China, as Australian miners have brought on more capacity in the first half of this year. Much of this inventory is in China, but there are also meaningful inventory levels in Australia. Consumers of lithium products are expecting lower prices until this inventory has been consumed. Hydroxide inventory at Chinese producers has been built ahead of demand, reflecting the economic incentive to run plants continuously to keep costs per ton down. However, hydroxide has a shorter shelf life, and therefore is being pushed into the market, creating further pressure on prices. Carbonate inventory is elevated at some customers, particularly outside of China. This is due to a number of factors, most notably the temporary suspension of production of ESS batteries in Korea and the more rapid than expected move away from carbonate-based chemistries toward hydroxide-based chemistries for the EV market. However, we believe the destocking of hydroxide inventory at cathode producers is largely complete, with customers now operating with much lower inventory levels. This is not a surprise, given broadly held views as to pricing trends in the coming months, but it is an important factor in our view that when prices do start to increase, they will do so very quickly. My last point is connected to my final observation about the supply situation in the hydroxide market. At current prices in China, third-party reports indicate that many spodumene converters are operating at the marginal cost of production, even allowing for lower spodumene input costs, which clearly isn't economically sustainable for them in the long run. Perhaps more important, supply additions outside China are increasingly being delayed, reduced in scale, or put on hold altogether. Spodumene expansions in Australia are being delayed, as we believe that current spodumene pricing is insufficient to cover both operating costs and reinvestment costs for many producers. And crucially, previously announced projects to build at-mine hydroxide plants are also being reassessed, as both capital costs of construction and the forecasted operating costs are simply too high for them to be viable with prices where they are today. Not surprisingly, given the environment we are in, traditional financing for new projects is largely unavailable, while nontraditional financing sources are prohibitively expensive, but this will not impact 2019 or 2020 supply. Much of the enhanced additions due to commence production in 2021 are unlikely to start up until later, if at all. So, to conclude, while we remain cautious on the 2019 pricing environment, we are increasingly positive on the long-run pricing environment. We remain committed to adding the capacity and the capabilities needed to meet the requirements of our customers, not just today, but over the next decade and beyond. I will now turn the call back to Dan for questions.
Daniel Rosen: Thank you, Paul. Casey, you may now begin the Q&A session.
Operator: Thank you. [Operator Instructions] And, your first question comes from Chris Kapsch with Loop Capital Markets. Please go ahead. Your line is open.
Chris Kapsch: Yes, good morning. In looking at your expectations for the second half, you mentioned that costs would be down, partly on reduced VAT expenses. I'm just curious if the demand therefore is implied that it's picking up in China. Can you just characterize the nature of the customers there? Are those Chinese customers that had previously stalled out on their purchases and pushed back on pricing, or do they tend to be more of the "Western" integrated battery guys that have operations in China?
Paul Graves: Hi, Chris. It's Paul. Thanks. Frankly, it's both of those. It's important -- when we stand back and look at the data and where we sit today, I think if you recall what was started this year, we said that migration to high-nickel cathodes was probably delayed six to nine months, and we sit here six months later, talking more confidently about the demand pounds. When we look at monthly data -- and, let's just be clear that the data, while directionally accurate, is not necessarily accurate to the ton -- we see purchases of lithium hydroxide in China particularly are double the levels in June that they were in January or February, and what we're seeing is a ramp-up really across the board. Both Chinese and the Chinese arms of Korean and Japanese producers all are increasing their purchases as we went through late in Q2. Now, a month or two is not long enough for us to make a full-year prediction, clearly, so we're looking to see where July and August data spits out, but I think that purchases are really coming from both Chinese domestic and international battery supply chains in the second half of the year.
Chris Kapsch: Okay. And then, if I could, your comments on the qualification cycle getting more complex for some of the advanced cathode chemistries and some OEs getting involved in even specifying where, ultimately, the feedstocks or the feeds for those cathode producers are coming from. Is that something that you feel benefits brine versus hard rock, or more specifically, is it beneficial to Livent, given the steady state production you have out of your asset in Argentina? If you could comment on that, thank you.
Paul Graves: I don't expect that the entire market is suddenly going to start rejecting spodumene-based hydroxide, but there will be -- and, in fact, are -- companies out there who are looking at the broader environmental footprint of the battery and saying that from their perspective, the lower carbon intensity of a brine-based production process is preferable to them in their own product. They're essentially selling their product on that basis, around sustainability, et cetera. It will be a small part in the market. We also have customers that are very much requiring completely different products depending on the application it goes into. We will have the same customer -- unlike a few years ago, instead of sliding a single specification sheet across the table for their required purchases, they'll give us three or four, and it will depend upon the application. It will depend, essentially, upon the very specific cathode that is going into the end application, and this is really driven -- not entirely for the first time, but in a larger way -- by the consumer rather than by the producers. We're seeing the consumers dictate what is being required, and by "consumers," I mean either the OEM or the maker of a consumable material, whether it's a power tool or an e-mobility scooter application, looking very much directly what they expect to be in their batteries. And so, to answer your question, I think it will just create more fragmentation in the short term and more complexity. I think already at this point, we are having to stand back and make decisions about which segment of that market are we going to tailor our production processes to meet. We do have questions -- given we currently operate four different independent lines and we'll add a fifth one late next year, should we run each of those five lines producing different specifications? These are questions we're still wrestling with, to be perfectly honest, and I think they just add complexity for all of us in the qualification process.
Operator: Your next question comes from Christopher Parkinson with Credit Suisse. Please go ahead. Your line is open.
Christopher Parkinson: Great, thank you. Can you just offer some further clarity and detail regarding your conviction on your ability to bring on the additional 40,000 tons in Argentina on time and on budget? Any color on key milestones you've met, any potential bottlenecks, et cetera, will be appreciated. Thank you.
Paul Graves: Sure. The process of bringing additional capacity on in Argentina is a complex one, as you know. It's complex from an engineering perspective, it's complex from, frankly, a logistical perspective, and there are sensitivities to operating in Argentina that are unique to Argentina. It's a remote part of the world, and we have communities and political will in that country that's maybe different to other places. I think the key challenges to us -- and to most people, I think -- have largely been around the logistics of infrastructure in that part of the world, and once you get into that process of infrastructure-building, you have to have a very close partnership with the local authorities because you need permits, you need permissions, there are local laws that have requirements as to how much local labor and local content is going into there, there are requirements that you have to put in place with regard to maintenance or ancillary infrastructure, about training of local employees. These are all real commitments that we make and that we have to make, and our focus has largely been ensuring that we have the correct relationship with all the local parties so there are no misunderstandings, and that there is a real sense that this is a project that is being developed for the benefit of all parties involved. We have received in the first half of the year the environmental permits, the construction permits that we need to stay on track for an end-of-2020 go-live on the first carbonate unit. We've also separately been able to put in place some of the key contracts that we need to put in place. These are either construction contracts with companies in Catamarca or they are construction contracts for fabrication yards in China to build the actual carbonate units themselves. So, when we go down our list of key milestones, they fall into multiple areas, and we are on track -- everyone that really matters to get us to an end-of-2020 go-live, we're on track for. We've hit this so far this year.
Christopher Parkinson: Thanks. Obviously, there have been a lot of moving parts during the first half of this year, but we're obviously in a longer-term story. As we're heading into 2020, can you just break down your cost structure on a general per-ton basis, just addressing the differences that derive from the Chinese VAT third-party product versus internally procured tons and the North America ramp? Just any color on how we think about the normalized environment for '20 and '21. Thank you.
Paul Graves: Sure. I think in the normalized environment, first of all, we would expect -- I think we've maybe talked about this more than most -- we expect local production to serve local markets, generally. What does that mean? We wouldn't expect to be producing in China primarily for export, so we would expect that VAT leakage to largely go away over time. As we've seen more and more migration of demand into China, it's highly likely that as we get through 2020 and into 2021, the volumes we are exporting out of China will start to decrease, and therefore, the VAT will go down. Our general level -- I think we've talked about this in the past a few times -- for carbonate in Argentina, it is a low-cost production facility. We can all debate depending on what prices and royalties are in Chile, et cetera, who's quite the lowest, but I think the brine producers in South America were all largely producing lithium carbonate somewhere in that $3.50-4.00 per kilo range, and that really doesn't change fundamentally, and that will be the case going forward, and will continue to be the case for our expansions as well.
Operator: Your next question comes from Kevin McCarthy with Vertical Research. Please go ahead. Your line is open.
Kevin McCarthy: Yes, good morning. I wanted to ask about your pricing expectations. I think Gilberto commented that you do not need price in order to achieve your 2019 guidance, but what are you assuming for price? In other words, do you need price stability from here in order to achieve that level? What are your expectations for the next couple of quarters?
Paul Graves: Sure. I think you have to break that business down into pieces that exposed to the forces that you guys all see out there and the pieces that are not. We still have a significant business in the butyllithium high-purity metal and other specialties area. Pricing in that market is likely to be higher -- and, this is all largely contacted volumes with customers. These are typically customers that have been with us for many years, if not decades, and have our product largely specified into their own production processes, and we're seeing pricing trends in the second half of the year in that business to be broadly up -- slightly up, low-single-digit percent, but certainly favorable in the second half versus the first half. We have, as you know, a relatively low exposure to carbonate. Our expectation is that carbonate pricing -- while we will sell more in the second half -- is going to be down first half to second half. I think a lot of the fall in pricing in carbonate in the markets we're selling into -- that is, outside pre-agreed long-term contracts, a market-based pricing -- has largely happened, but we do expect some price pressure still to be applied into the carbonate market, and that is factored into our guidance. Hydroxide is a different story. We have two areas of demand. We have the contracts that have been in place for a few years. Those contracts, by the way, continue to perform, customers continue to take the volumes, the pricing remains in line with those contracts, but we also have a higher proportion than we are comfortable with going into markets that are more subject to market-based pricing. Our expectation is that the average realized price that we see in those contracts for hydroxide and in our forecasts will be down in the second half compared to the first half. It will be down at least double-digit percent in our guidance expectations. We do have a mix benefit because some of our contracted sales in the first half have been at contracted prices that are at or below market prices today. Just the nature of those long-term contracts, as we've mentioned in the past, is they're already relatively low-priced contracts, so actually, we have a bit of a customer mix shift benefit going on in our favor, but when we think about sales of hydroxide in the second half, we're certainly forecasting a decline in pricing in the guidance that we've given.
Kevin McCarthy: That's very helpful, Paul. I appreciate the color there. Secondly, I wanted to ask you about China along a couple of fronts. How do you think escalation of the trade dispute will affect supply chain, if at all, and then, what is your RMB sensitivity? Thank you.
Paul Graves: So, I think we've mentioned before -- we have no U.S.-to-China trade in either direction. All of our China product doesn't touch the U.S., and none of our U.S.-produced product goes into China, so on a direct tariff basis, it doesn't have an impact on us, but clearly, there are significant concerns that we have as to what it does in other areas. You mentioned the RMB. We do have exposure to RMB. About 25% of our revenue is into China, but we have very little cost in China, so a depreciating RMB is a headwind for us in terms of profitability. I think from a supply chain perspective, we're seeing it already. I think you heard us mention that we expect our production process to become more local, that we will produce --because of the way we convert carbonate, we will convert carbonate to hydroxide. We will increasingly produce locally for local markets. I think we will likely see -- and already are seeing -- a similar trend. I think anybody who was expecting to produce cathode materials in China or battery materials in China and export them to battery assembly or production facilities outside China is likely to revisit that. I think it will, in fact, move more of the battery production supply chain into China, and do so more quickly.
Operator: Your next question comes from the line of PJ Juvekar from Citi. Please go ahead. Your line is open.
PJ Juvekar: Yes, hi. Good morning, Paul.
Paul Graves: Good morning, P.J.
PJ Juvekar: Paul, on the last quarter, you talked about high-nickel batteries like 811 taking longer to get commercialized, and you also mentioned that some cathode guys are going to older chemistries, like LFP. Can you give us an update on that? Because this quarter, you sounded a lot more upbeat, so I want to know what changed in the quarter.
Paul Graves: Well, first of all, as I mentioned, basically, time has passed, and the reality of the shift to 811 remains a "when," not "if," conversation with every customer. The shift to hydroxide as the basis for EV battery chemistry remains a "when," not "if," conversation. And so, timing is a variable that I think a lot of people seem to miss. They take our statement and our situation and assume it will last forever, when what we really have is a very dynamic environment. We believe -- and again, data is not that easy to get ahold of, and so, we do our best with what's out there and with some of our own conversations with customers, but it feels to us that high-nickel chemistry in the first quarter and second quarter of 2019 -- and by that, I mean purely 811 and NCA -- in China, production perspective was about 10% of total production. Now, that's important to understand because total production of those cathodes was up 25% Q1 to Q2, so we're seeing the shift -- from relatively low percentages, we're seeing a shift in production of high-nickel cathode materials. We're seeing those cathode materials first and foremost finding their way into non-EV applications, where maybe the safety environment feels a little different. We are seeing what I believe to be the dying growth story in LFP or NNC 111 and maybe even 532 chemistries. While they will continue to have large applications, whether it's in stationary storage or in certain non-passenger EV applications, it feels like the technology roadmap for passenger EVs is moving more quickly and more rapidly toward high-nickel chemistries. We're seeing 622 for sure grow more quickly than anything -- about 45% Q1 to Q2 based on the data we have. That's a meaningful shift. Some of that product is hydroxide-based. Most of it is not; it is carbonate-based. We're also seeing more and more blends, and bear in mind, most of these cathode materials are blended together, so we're seeing more 811 content in batteries. And so, what I think we're basically seeing when we look at the data -- a combination of the pull, if you will, of the specifications being given to the battery producers by the OEMs as well as a continued ramp-up in the learning curve, not only of making the 811 materials, but also putting them safely into battery applications, continues to drive higher growth in those product areas.
PJ Juvekar: That's helpful, thank you. And, my second question is on the spread we'll do in carbonate and hydroxide -- when that's important to use is you buy a little bit of it in carbonate, but sell mostly hydroxide. That spread compressed, I think, in second quarter. How do you see that playing out in second half?
Paul Graves: I think you may have heard me say a few times that I expect two disconnects to happen in the future that are maybe starting to happen already. One of them is a disconnect of China from the rest of the markets around the world, and the second is a disconnect in pricing between carbonate and hydroxide. They won't be completely disconnected, but generally speaking, they're both now driven by their own independent supply and demand characteristics, and so, you have to look at them a little separately. I think when we had a market where fundamentally, most hydroxide was converted from carbonate, you could understand the rationale for a premium of hydroxide over carbonate. What you have today is a situation where we have more and more producers going from spodumene to hydroxide, and at today's prices, it's probably cost parity to maybe even slightly lower cost to produce hydroxide than it is to produce carbonate, and what we have in the market today, depending on where you look, is generally speaking, not a premium in place at all -- not much of a premium in place at all today. It's really, though, driven by supply characteristics. I think we've been frankly surprised at the pace at which hydroxide capacity in China has come online. I don't see that pace -- it just cannot continue at that pace relative to demand, but at the moment, what we have is a product in lithium hydroxide which is being produced, it's being produced to certain specifications, and a Chinese producer -- with all the pressures they face with their own balance sheets and financing -- with an incentive to sell our product, even if it's a relatively low margin. And so, I think that disconnect is starting to happen. I think it will continue to happen. Where it goes is a completely different and much more difficult question to answer for you, but I do think we will find greater independence of pricing characteristics between those two markets in the future.
Operator: Your next question comes from the line of Bob Koort with Goldman Sachs. Please go ahead. Your line is open.
Dylan Campbell: Good morning. This is Dylan Campbell on for Bob. When I look at your cash flow from operations and compare that to EBITDA, it looks like CFO to EBITDA was about 120% in the first half of the year, and the implied guidance for second half of the year is maybe just shy of...slightly below 50%. What drives that decline in cash flow conversion from EBITDA?
Paul Graves: I like having this put straightforward. I think it's a working capital question. We inherited, as an independent company, what are loosely called some complex supply arrangements with our Chinese partners, and we spent the first part of the year simplifying those and taking working capital out of that part of the supply chain. I think in the second half of the year, with our expectation of higher sales, we're going to see that reverse again, a more normal build of working -- a timing-driven build of working capital, largely in the form of receivables, in Q4. So, it's really nothing more than the shift of working capital plans that we've talked about.
Dylan Campbell: That's helpful. In the past, you've given pretty interesting color in terms of marginal cost for a non-integrated lithium producer. I think the last price was something just above $10,000.00 a ton for lithium carbonate, but I'm curious -- how does that compare with your view on the marginal non-integrated producer?
Paul Graves: The math is pretty straightforward. The single biggest driver of cost is spodumene pricing, so when you get spodumene pricing down by $100.00 a ton, that equates to almost $1.00 off their marginal cost of production. There are other variables which matter, including the quality of that feedstock and the consistency of it, which impacts our operating rates, which, again, factors into that pricing, but generally speaking, today, we probably see the marginal producer of both hydroxide and carbonate in China -- and, this is verified by independent observation -- somewhere between $8.00-9.00 a kilo or $8,000.00-9,000.00 a ton as the marginal producer of a non-integrated producer.
Operator: Your next question comes from the line of Steve Byrne with Bank of America. Please go ahead. Your line is open.
Steve Byrne: Paul, I wanted to talk a little bit more about this shift in cathode technology to 811. Would you say that the price premium for hydroxide over carbonate is at all relevant in the pace of that shift, and would a lower premium accelerate that shift in your view?
Paul Graves: I don't think it's relevant at all, to be perfectly honest. Lithium still remains, while an important, by no means the most important part of that cost structure for 811. I think availability of qualified lithium hydroxide is going to continue to be a challenging question for some of the producers. I think sometimes, it's easy to get caught up in the moment, and while I wouldn't take every statement given to me by a customer at face value, we have customers turning around to us and saying, "I need it somewhere between four and eight times as much lithium hydroxide in 2020, and I'm opening three times as much again in 2021," and that creates a different conversation, but price is important. Price is critically important. Bear in mind that a capital producer, generally speaking, is passing on the cost of his battery raw materials to the ultimate consumer. He's passing them on in this case to the OEM. So, the OEM is driving that conversation as much as anybody else, and the OEM's conversation has tended to be about market-based pricing. We want to make sure we're not paying a price that is different to the prevailing market price. It's an interesting dynamic because different OEMs come at this from different angles, and some see that as a real challenge to their own profitability because they don't understand where is the incentive in the battery chain to take the costs down? All the costs land on the OEM, and so, they don't like index pricing. Others, frankly, just prefer that transparency. What we're not seeing is any conversations that say, "Because of the price of lithium hydroxide and our expectations of it, we're going to delay the introduction of cathode chemistries." I've never heard that conversation.
Steve Byrne: Okay. You talk about your volume outlook for the second half being kind of back-end loaded and could be significant volumes taken by year end. Can you comment on how much of the volumes implied in your guidance are actually contracted for the second half, and what's the risk that some of that volume could slip into 2020?
Paul Graves: So, some of that volume could flip into 2020. Again, I think as I've mentioned, what we're seeing is an acceleration in demand indications from customers, not a delaying of them. We have more conversations with customers where we've been talking about 2020 who are now starting to say, "We may bring that forward a month or two or three, and some of that demand will, in fact, fall into Q4 this year." How much and how certain that is is still to be determined. I think from a contracted perspective, for the second half of the year, when we look at that total revenue expectation, it's largely consistent with the first half, where between 20-30% of our volume and revenue in the second half of the year is exposed to either demand or pricing variability, depending on market conditions.
Operator: Your next question comes from the line of Alex Falcao with HSBC. Please go ahead. Your line is open.
Alex Falcao: Good morning and thank you, everyone. I have a question regarding your yearly guidance. If you think about your third-quarter guidance for EBITDA, that implies a dramatic increase for fourth quarter. I just wanted to know if that's coming solely on the back of the increase in production -- for in-house production, or if it also comes from pricing. Thank you.
Paul Graves: So, I think as I mentioned earlier, our forecast for the second half is a meaningful decline in price assumptions in that forecast, so maybe let me help just a couple of key metrics for individuals. Most of the additional volume we have coming online will be available to us in the fourth quarter, so we recognize that we are asking a lot of ourselves and of you with regard to those fourth-quarter assumptions, but just to put a few numbers around it, we'll have about 3,000 tons of additional product from our own production, and I mentioned earlier what our cost of production is in Argentina. At today's -- or, at our forecast pricing, we'd expect to make somewhere between $5.00-6.00 a kilo of additional contribution on product produced in Argentina sold into today's market environment. On top of that, we have somewhere in the region of $6-8 million of tailwind beneficial from customer mix. Product mix, too, is an important shift in the back end of the year, as well as we talked about we expect to have less value of cost leakage from VAT. And so, what we're seeing is largely a volume-driven step-up in performance in Q4 helped out around the margins by favorable mix and slightly lower costs in certain areas.
Alex Falcao: Okay. And, following up on that, I think that could explain also the lower capex and lower cash flow generation as well, right?
Paul Graves: The capex is really just a timing question. As I'm sure you guys have seen in many other projects, it's easier to determine what the total capital cost of a project is than it is to predict the date on which the cash goes out the door over that capital project. We have a history in this business -- as many similar organizations do -- of perhaps over-forecasting or forecasting cash flows to happen sooner than they actually do. As we sit here now in August, we have much more clarity over when the timing of spend will be on capex. It is not, though, an assumption that the total capital cost will be lower than we previously said. It is still absolutely in line with previous forecasts for capital cost. The slower pace of cash flow generation, as I mentioned earlier, really is with regard to impact of inventory buildup that will happen in the back half of the year -- sorry, working capital buildup as a result of higher sales in Q4, where frankly, the collections for that are likely to take place in 2020 rather than 2019.
Operator: Your next question comes from the line of Joel Jackson from BMO Capital Markets. Please go ahead. Your line is open.
Joel Jackson: Hi, good morning. Paul, maybe you could start by following up with some comments you made a little while ago. You talked about how the specs for hydroxide are changing, even whether customers want it produced from brine or from spodumene. Could you elaborate with some more specifics on that, please?
Paul Graves: Sure. I think there are certainly... As I'm sure you know, there are multiple technologies out there with regard to cathode chemistries in them, so we'll talk about 811, but not everybody's 811 is the same. We have variations on NMC, variations of NCA. We have, frankly, a merging of NCA and NMC technologies. Particularly, once you get into 811, you start to see more similarities than differences, perhaps, between NCA and NMC, and so, we see a merging going on. I tell you all this because simply put, many factory producers -- and importantly, cathode material producers -- are talking to the ultimate consumer, the OEM, and looking to differentiate their product, making sure their product is specified into ultimately the most important platforms, the most important vehicles. Part of that conversation continues to be either supply chain security, supply chain exposure, as well as what is the broader environmental footprint of an electric vehicle. And, we've seen lots of press around how the battery materials themselves are the single biggest contributor to the fact that an electric vehicle -- when it's finished being built -- actually has a higher carbon footprint than an internal combustion engine. And so, there is a push -- we can debate how broad, how prevalent, and how accelerated that push is -- to look back through the supply chain at the sustainability of operations, and some customers -- particularly European-based customers -- are moving more quickly to the notion that they do not want to be exposed to the most carbon-intensive method of making lithium, and would therefore be not only preferring, but in some cases, restricting their purchases to only hydroxide that can demonstrate that it has got a low carbon footprint. Today, that is essentially entirely carbonate-to-hydroxide-based product, where the carbonate itself is produced from brine. Again, it's just one factor at work. I wouldn't for one moment say this is driving a fundamental shift in the market, but I think it does reflect the complexity of the conversations that are happening in the lithium hydroxide supply chain today.
Joel Jackson: Thanks for that. Just following up on another question, you kind of danced around this a little bit in giving an answer to people on this, but I just want to understand -- you talked about 20-30% of volumes or revenues in the second half of the year that could be exposed to demand or price variabilities. So, just to clarify, is that 20-30% of revenues including butyllithium, or is that 20-30% of just hydroxide volumes? And then, you talked about on the call a few months ago that the risk really was more on the volume than price -- that is, the customers for the non-take-or-pays would take it or they wouldn't, but if they took it, it would be at that priced contract. Could you just clarify a little bit on that, what's going on now, please?
Paul Graves: I'll try. One of the realities of our business in the first half of the year is that our challenge, frankly, was not demand-based. Our challenge was price-based. With insufficient product produced in-house -- carbonate, that is -- it was not economical to buy carbonate, convert it to hydroxide, and sell it, and so, what was happening is yes, sure, we had customers that were willing to take product from us as contracted, but not at the right price. Once we looked at that, we just frankly could not make money selling to them at those prices, and so, I think it's fair to say that that price exposure has been the biggest negative impact on us than anything around demand. I'll keep making the point -- a problem in our business today is the supply base driving pricing down, not a lack of demand driving pricing down. I think in the second half of the year, that factor just fundamentally changes because producing carbonate at $3.00-4.00 a kilo is a very different economic conversation for us internally about what we do with that relative to buying carbonate and being forced to find a home for it profitably, so it's... Customers did buy significantly less in the first quarter. Again, the data that we have -- I'll keep qualifying it because there's lots of data out there that we all have to try and reconcile sometimes, but from our best reading of the data, purchases of lithium hydroxide in the first quarter were not much different than they were in Q4 '18 or Q3 '18. Purchases of hydroxide in Q2 have been significantly higher than the previous two quarters -- significantly -- and so, we've seen the customers continue to buy. We've had individual customers who were buying a couple hundred tons of hydroxide a month put bids out at 1,000 tons of hydroxide per month in the last couple of months. So, we can all debate why that's happening, but from our perspective, the customers did not stand by their commitments to us on price. They are continuing, in our view, or accelerating their actual volume purchases.
Operator: Your next question comes from the line of Aleksey Yefremov from Nomura Instinet. Please go ahead. Your line is open.
Aleksey Yefremov: Thank you. Good morning, everyone. Just a question on your third-quarter guidance. Will you still be restricted on volume in the third quarter, and related to that, is Argentina currently back to normal operations?
Paul Graves: We will be restricted on volumes for most of Q3 still. We took the plant down in Argentina to do some debottlenecking in July, so clearly, we've lost some volume. Our process in Argentina, as I'm sure you know, is not a simple one, and there's a time lag in it. We can build inventory of product, but it's not saleable product. It's either in the form of brine or lithium-chloride based, and we can then convert that into carbonate once we're up and running. It takes us a period of time not only to do that, but then we have to get that carbonate to the right place. This is largely seaborne material, so it can take a few weeks to get to the right place. What that means is the real ramp-up in available volume is while start producing it today and are producing at higher rates today, it won't really be available for sale until the very end of Q3 and into Q4.
Aleksey Yefremov: Understood. And, Paul, thank you for your commentary about demand dynamics in China. So, I'm trying to square the growth and demand in the second quarter versus what prices are telling us, and how do the two reconcile? Was it an inventory destock? And, a question related to that -- do you have any read on what's happening in July following the change in subsidies in China? Has demand picture changed a lot versus what you saw in second quarter?
Paul Graves: There's no doubt that the supply situation is far more bearish than the demand situation. We've seen -- our best estimate is, as I said, about 110,000 tons of hydroxide is going to be purchased in 2019, but we think about 140,000 tons may be produced. And so, not only do you have a situation where there's a lot more volume available into the market relative to demand than we'd expected, I think the single biggest driver of pricing today is a customer who, first and foremost, has destocked. Why would you hold hydroxide inventories when A). It has a finite shelf life, and B). You see the price going down in the future? So, I think we've seen destocking at the capital material producer of hydroxide, but we've seen -- based upon expectations as to spodumene prices, there's been a decline in marginal cost of production at that spodumene-based hydroxide producer, so put yourself in the minds of a rational consumer of lithium hydroxide. You're going to destock the inventory you have today. You're going to defer purchases to the future because the price will be lower in the future than it is today. If you look at the spodumene story and see a continued increase in spodumene output, you don't see pricing of spodumene recovering anytime soon, so you don't have a huge incentive to do anything more than buy what you need in any given month. Frankly, I think that's what we've seen going on. Meanwhile, supply comes in in larger lumps. There's always an incentive, particularly on a spodumene-based unit, to just run them -- run them flat out and produce the product. Unlike carbonate, though, you're going to start asking questions. How long can I hold that hydroxide as a producer of hydroxide? The longer it sits -- particularly if it's not in a temperature-controlled or humidity-controlled warehouse -- the more it wants to turn itself back into lithium carbonate. As you start to head down that path of moisture and clumping in the material, it starts to fail specifications of customers, so you have a supply that is coming on that is rather immediately being pushed into the market, and any rational consumer of lithium hydroxide today is looking at that and saying, "I'm just going to buy what I need as I need until the situation changes."
Operator: Your last question comes from the line of Mike Harrison from Seaport Global Securities. Please go ahead. Your line is open.
Mike Harrison: Hi, good morning.
Paul Graves: Good morning.
Mike Harrison: Looking at the guidance, you have a $20 million range for the full year for EBITDA, but it's kind of a $4 million range for Q3, and that implies a $16 million range on Q4. Can you maybe talk about some of the variables or uncertainties you see going into Q4, maybe where visibility is relative to what you'd like at this point?
Paul Graves: I think it's a valid observation. The truth is that when we look out, we have two major variables impacting whether we deliver on guidance or not. One of them is our ability to deliver those volumes that we just talked about. This is Argentinian brine-based production. It's not easy to do, and it can be upset pretty easily by various factors. I would say first and foremost, we have to deliver on that, and I'm not suggesting it's a challenge, but I'm equally not suggesting it's a slam dunk. It'll make a big difference to us. As we just mentioned, the margin on self-produced product is significantly higher than anything else. The second is the pricing environment. We've assumed in here, as I said, pretty significant reductions in average realized prices in the second half of the year. We've continued to be -- I wouldn't say surprised, but I think there have been some price movements that have been maybe higher in lithium hydroxide than we'd expected. We've seen more stability, by the way, in carbonate than we expected, and less stability in hydroxide. There's no doubt that we continue to have a risk that's higher than we would like with regard to those two variables in the second half of the year.
Mike Harrison: My second question is regarding the production of hydroxide from some of these Chinese converters in the context of the increasing specifications. Just wondering what these converters are capable of in terms of meeting those tighter specifications. How difficult is it, and over time, are they going to improve capabilities, or do you feel like you're going to be somewhat unique in your ability to meet these increasing specifications?
Paul Graves: It's an interesting question. Here's my take on this. I do believe that generally speaking, meeting specifications is something that most Chinese producers will ultimately be able to do. I think today, some of our strongest competitors are Chinese producers of lithium hydroxide who produce a very high-quality product. I think the biggest question, frankly, is more on the consumption side. We've seen over and over again that when supply is tight, specifications get relaxed a little by consumers who just need the product. When supply is a little looser, like it is today, we see those specifications tighten, and we see greater demands being placed on us by our customers, and I think that trend will continue. I wouldn't underestimate -- if you're producing from a single plant and you have to produce five, six, or seven different specifications, you have to produce to -- by the way, it isn't simply a case of going to the lowest because some of these are physical properties that do vary, depending on how you produce it. It isn't clear to me that every producer will be willing or able to produce the breadth of material that every customer needs, and so, I think that's going to have a factor. I also think, by the way, it's not easy for a factory guy to manage these supply chains, and what we've seen increasingly is they want two or maybe three suppliers only into each platform, so I think we'll see more and more producers of lithium hydroxide aligning with specific platforms and specific customers in producing to those specifications, so I think this is a supply chain that has a good degree of evolution still to go through.
Operator: And, I will now turn the call back over to Daniel Rosen for closing remarks.
Daniel Rosen: Thank you. That is all the time we have for the call today. We'll be available following the call to address any additional questions you may have. Thanks a lot, and have a great day.
Operator: And, that's all the time we have for today. This includes the Livent Corporation's second quarter 2019 earnings release conference call. Thank you.